Operator: Ladies and gentlemen, thank you for standing by. My name is Christa, and I will be your conference operator today. At this time, I would like to welcome everyone to Hexcel Corporation's First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Simply press star followed by the number one on your telephone keypad. And if you would like to withdraw your question, thank you. And I would now like to turn the conference over to Patrick Winterlich, Chief Executive Officer. You may begin.
Patrick Winterlich: Hi, Krista. Thank you. Hello, everyone. Welcome to Hexcel Corporation's first quarter 2025 earnings conference call. Before beginning, let me cover the formalities. I want to remind everyone about the Safe Harbor provision related to any forward-looking statements we may make during the course of this call. Certain statements contained in this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. They involve estimates, assumptions, judgments, and uncertainties caused by a variety of factors that could cause future actual results or outcomes to differ materially from our forward-looking statements today. Such factors are detailed in the company's SEC filings and earnings release. A replay of this call will be available on the Investor Relations page of our website. Lastly, this call is being recorded by Hexcel Corporation and is copyright material. It cannot be recorded or rebroadcast without our express permission. Your participation on this call constitutes your consent for that request. With me today are Tom Gentile, our Chairman, CEO, and President, and Kirk Goddard, our Vice President of Investor Relations. The purpose of the call is to review our first quarter 2025 results detailed in our news release issued yesterday. Now let me turn the call over to Tom.
Tom Gentile: Thanks, Patrick. Hello, everyone, and thank you for joining us today as we discuss our 2025 first quarter results. Hexcel's value proposition is strong. We have a broad and unrivaled product range of lightweight innovative aerospace composites protected by robust intellectual property as well as considerable know-how gained from decades of experience. That positions Hexcel extremely well with the expanding demand for advanced lightweight composites in aerospace and defense as the industry continues its recovery from the COVID-19 pandemic and returns to higher production rates across all commercial and military programs. We are well-positioned with sole source life-of-program contracts across a large number of commercial aircraft programs. Hexcel will benefit as Airbus and Boeing increase production in the coming years to address their significant backlog. Taking the ship set values by program that we disclosed, and the peak build rates announced by Airbus and Boeing, for key platforms, there's roughly half a billion dollars of incremental annual sales from existing contracts ahead of Hexcel when compared to our 2024 sales. For example, the A350 is Hexcel's largest program with the ship set value between $4.5 and $5 million. Airbus delivered 57 A350 aircraft in 2024 and recently reiterated that they still expect to achieve 12 aircraft per month for the A350 by 2028, which would result in approximately 132 deliveries. This is business we already have contracted as production rates ramp in the future for the A350, other Airbus and Boeing commercial programs, defense and business jets, and space, and other existing and new markets are all additive. In terms of defense, we see significant opportunities as both the US and European governments look to increase spending. We are US domiciled and vertically integrated to support US defense production, with existing positions on most current military programs that use lightweight composite material. We also have deep relationships with European defense contractors and a strong vertically integrated manufacturing presence in Europe to support our overseas defense customers. Our ability to generate cash combined with our conservative financial policy underscores Hexcel's solid balance sheet. As sales grow over time and our capital expenditures remain subdued, as we have already invested in the plant and equipment necessary to support higher production rates, the multi-year cash generation profile of Hexcel is compelling. Based on the value we perceive in Hexcel's common stock, and our confidence in the future cash generation potential of the business, we utilized $50 million to repurchase shares of common stock in the first quarter. We have additional authorization to purchase a further $185 million. We also addressed the pending debt maturity by refinancing a $300 million fixed-rate note maturing later this year at an attractive interest rate spread. As a reminder, we are changing how we report sales by market and will now report two markets: commercial aerospace and defense space and other, which is the market that now includes our industrial business. This industrial business will consist primarily of performance-oriented automotive sales once we conclude the divestiture of our wind and recreation-focused facility in Austria, which we expect to be later in Q2. Looking at our financial results for the first quarter of 2025, we generated sales of $457 million and adjusted diluted EPS of $0.37. 2025 is turning out to be another year in which production rate increases for commercial aircraft will not meet initial expectations due to ongoing supply chain disruption. Commercial aerospace sales in the first quarter of 2025 were $280.1 million, down 6.3% on a constant currency basis from the same period in 2024. Lower sales year-over-year were primarily due to the Boeing 787 and the 737 MAX. However, this was partially offset by a 7.1% increase in other commercial aerospace from international demand. To share some additional color, commercial aerospace sales were up nominally on a sequential basis. Airbus A350, A320, and A220 all increased sequentially as did other commercial aerospace. Boeing 737 MAX sales were unchanged sequentially consistent with our expectations, whereas the Boeing 787 sales were significantly lower. In defense space and other, sales were $176.4 million, up 2.7% in constant currency from the same period in 2024. In defense and space, realized sales growth of 3.3% in constant currency compared to Q1 of 2024, driven by the CH-53K, the Blackhawk, classified programs, a number of space programs, and an international fighter program. This continued growth underscores the capabilities and value Hexcel brings to the defense market, particularly our vertically integrated capability for both US and European defense programs. Within industrial, we had growth year-over-year in automotive, offset by further deterioration in wind, and recreation remained soft. With lower than expected sales volume in our commercial business, we now see 2025 as a year where we need to remain focused on the fundamentals of our business and controlling costs as we navigate reductions in near-term demand for commercial aerospace programs, including the A350. Our gross margin of 22.4% for the first quarter, down from 25% in the same period last year, was negatively impacted by lower operating leverage from the lower sales line. Additionally, we experienced a power outage in January at our Decatur, Alabama facility, which disrupted our manufacture of PAN, the precursor element for our carbon fiber production line. This resulted in additional expense to restart production at the facility, which is now complete, and the plant is once again operating efficiently. With respect to hiring, we are carefully managing any additional increase in headcount to ensure we do not get ahead of the revised production levels of our customers while maintaining our ability to support future rate ramps. Our current headcount is about 300 heads or 5% lower than where our annual plan forecasted from the end of March. For 2025 overall, we expect to run significantly below our previous plan year-end headcount. The Hexcel team is actively managing cost reduction and cash by driving material usage efficiencies, minimizing discretionary spend, revisiting planned capital expenditures, and optimizing our sales inventory and operation planning to right-size working capital. Before I move into guidance, I want to address the issue of tariffs. The situation remains fluid as US policy continues to evolve. We have a cross-functional team analyzing the potential impact and our strategy to manage tariffs. As a reminder of what I shared earlier this year, resins and acrylonitrile are two of our top purchases, and we source these regionally to support local production both in the US and in Europe. To illustrate further, over 85% of our 2024 spend was in the US and five European countries, where we have the vast majority of our assets, employees, and production. I share these figures to provide some perspective on the potential direct tariff impacts on Hexcel. Further, our total combined purchases from Canada, Mexico, and China were only just above 1% of our total 2024 spend, so we source very little from those three countries that have been specifically targeted for tariffs. There was no impact from tariffs in the first quarter results, as the new US tariffs were not announced until April. And due to the fluid situation and uncertainty with tariffs, our guidance does not include any tariff impact or potential impact from tariffs enacted after March 31, 2025. Based on current information, we expect the direct impact from tariffs will be about $3 million to $4 million per quarter. We do not know what the indirect impact that tariffs could have on other parts of the aerospace supply chain and OEM production rates. Additionally, we continue to streamline our footprint to minimize our cost and position the business for future stronger margins. In Q1, we completed the divestiture of our 3D printing facility in Hartford, Connecticut, and we continue to work on the divestiture of our Neumarkt, Austria site, which primarily supplies the wind and recreation market. In addition, we are continuing the evaluation of our Bellatrix facility, which makes engineered core. We announced our 2025 guidance this past January. Subsequently, Airbus significantly revised their demand forecast with substantially lowered A350 production in 2025. We built our plan in 2025 with an assumption of 84 A350 material ship sets. We now expect this to be around 68 material ship sets in 2025. This lower A350 production is the primary driver for revising our 2025 guidance downward as we have significant ship set value on the A350 of between $4.5 and $5 million per ship set. Patrick will go into more detail on the revised guidance in his remarks. Despite these near-term headwinds that we have in 2025, Hexcel is well-positioned to generate significant future cash flows as the commercial OEMs ramp up production. We are aligned and focused to grow in other markets such as defense space, where we continue to see opportunities to expand. Before turning it over to Patrick, I would like to thank again our customer Embraer for the recognition of the hard work the Hexcel team does every day producing high-quality parts that are delivered on time. We are honored and humbled to receive the best supplier of the year award from Embraer for their materials category. I was at the Embraer headquarters last week in Sao Paulo to accept this prestigious honor. I'd also like to thank and congratulate our customer, Gulfstream, for attaining certification of their G800 large cabin business jet. It's quite an amazing aircraft and utilizes our lightweight composite material extensively. Now let me turn it over to Patrick to provide some more details on the numbers. Patrick?
Patrick Winterlich: Thank you, Tom. As a reminder, regarding foreign exchange exposure, Hexcel benefits from a strong dollar. We continue to hedge foreign exchange exposure over a ten-quarter time horizon. The year-over-year comparisons I will provide are in constant currency, which thereby removes the foreign exchange impact on sales. The commercial aerospace market represented approximately 61% of total first-quarter 2025 sales of $456.5 million. First-quarter commercial aerospace sales of $280.1 million decreased 6.3% from the first quarter of 2024. The overall aerospace supply chain continues to recover in fits and starts, leading to delayed rate ramps across our commercial aerospace customers. Boeing 787 sales declined meaningfully year-over-year, and MAX sales remained low as excess inventory is consumed consistent with our expectations as we lag Boeing ramp rates. Airbus A350 sales declined modestly year-over-year or less than the equivalent of one-half of one ship set. Sales for other commercial aerospace in the first quarter increased 7.1% year-over-year, led by strength from a few of our international customers. The newly designated market of defense, space, and other represented approximately 39% of first-quarter sales, totaling $176.4 million, increasing 2.7% from the same period in 2024. Within this market, defense and space grew 3.3% to grow both domestically and internationally. For rotorcraft, the CH-53K and Blackhawk programs grew year-over-year, partially offset by declining V22 sales. A few space programs drove additional growth, as did an international fighter program. Industrial increased in automotive, tempered by lower wind and recreation sales. Much of our industrial business is with European customers, as illustrated by sales being down year-over-year from a weakening dollar, whereas on a constant currency basis, sales were nominally up. Gross margin of 22.4% in the first quarter of 2025 deteriorated year-over-year from the negative impact of lower operating leverage, a vendor quality issue in our engineered product segment, as well as a generally unfavorable sales mix. In addition, a rare power outage at our Decatur, Alabama facility cost us between $2 million and $3 million. Tom said in his remarks that Decatur plant operations were restored quickly. Gross margins in the comparable prior year period were 25%. As a percentage of sales, selling, general and administrative expenses, and R&D expenses were 12.5% in the first quarter of 2025, compared to 13.6% in the comparable prior year period, with the year-over-year reduction primarily reflecting lower employee costs, including lower stock-based compensation charges. Adjusted operating income in the first quarter was $45.3 million or 9.9% of sales, compared to $54.1 million or 11.5% of sales in the comparable prior year period. The year-over-year impact of exchange rates in the first quarter's operating income was favorable by approximately 60 basis points. Now turning to our two segments, the Composite Materials segment represented 80% of total first-quarter sales and, adjusting for non-recurring charges, generated an adjusted operating margin of 14.2%. This compares to an adjusted operating margin of 16% in the prior year period. The Engineered Products segment, which is comprised of our structured and engineered core businesses, represented 20% of total sales and generated an adjusted operating margin of 6.8%. This compares to an adjusted operating margin of 14.3% in the prior year period. As previously mentioned, a vendor quality issue and poor sales mix impacted the engineered core segment this quarter. Net cash used by operating activities in the first quarter of 2025 was $28.5 million, compared to a use of $7 million in the first quarter of 2024. Working capital was a cash use of $97.7 million in the first quarter of 2025, compared to a cash use of $84.5 million in the first quarter of 2024. Capital expenditures on an accrual basis were $17.1 million in the first quarter of 2025, compared to $18.6 million in the comparable prior year period. Free cash flow in the first quarter of 2025 was negative $54.6 million, which compares to a negative $35.7 million in the first quarter of 2024. We typically see cash used in the first quarter of the year, and this year was no different. Adjusted EBITDA totaled $84.8 million in the first quarter of 2025, compared to $98.2 million in 2024. During the first quarter, we refinanced the $300 million fixed-rate note maturing later this year. The transaction was significantly oversubscribed, and we achieved a good interest rate spread, demonstrating Hexcel's strong credit profile. We are pleased to have removed this refinancing as a potential risk. Our next debt maturity is not until 2027. We used $50.4 million to repurchase stock during the first quarter. The remaining authorization under the share repurchase program as of March 31, 2025, was $184.5 million. The Board of Directors declared a $0.17 quarterly dividend yesterday. The dividend is payable to stockholders of record as of May 2, with a payment date of May 9. Expanding on Tom's comments regarding the year and our guidance revision, 2025 is going to be another transition year for the commercial aerospace industry and for our commercial aerospace business. So in recognition of this, we are pivoting and managing the business for the realities of today. We are focusing on strong control of operating costs and tightly managing. For the 2025 sales guidance, we reduced the midpoint by $85 million. Most of this sales reduction is attributable to Airbus cutting their 2025 demand for A350 material. For 2025, we expect A350 sales to be lower than 2024, with the decrease to be particularly noticeable in the second and third quarters of 2025. There was also a reduction in the A320 build rate for 2025 compared to our original assumptions. There are a few other areas of softness, including the Boeing 787 and automotive. Much of our automotive business is with European-based high-performance automotive manufacturers that import their automobiles into the US. For any additional tariff likely to have a significant impact. By market, 2025 commercial aerospace sales are now expected to be unchanged or flat compared to 2024, as are 2025 sales to defense space and other. Lower sales negatively impact cost absorption, resulting in margin deterioration and the downward revision to adjust EPS guidance. The midpoint of our EPS guidance is now $0.20 lower. Our operating footprint capacity supports peak announced build rates and some growth beyond. However, we will be very deliberate before adding any headcount about where we ended 2024. Free cash flow guidance is now expected to be around $190 million. Note also that our guidance excludes any further sales from Neumarkt, Austria, from the Neumarkt, Austria facility, which we are continuing to work towards divesting. Sales for Austria were originally assumed to be approximately $40 million for the year. And just to repeat, our guidance does not include the impact of any new tariffs announced after March 31, 2025, due to the fluid and uncertain nature of tariffs globally. With that, let me turn the call back to Tom. Thanks, Patrick.
Tom Gentile: In my annual letter to shareholders, I outlined three key strategies for Hexcel this year: deliver, innovate, and grow. These are central towards navigating the current challenges and positioning Hexcel for the future. We are focused on operational excellence, ensuring we meet production schedules, maintaining high quality, and upholding our commitment to the safety of our employees as we deliver on our commitments to our customers. While we do this, we have been streamlining our footprint to position Hexcel for higher margins in the future. We are innovating through our investments in research and technology to develop new materials and processes that will drive the next generation of aerospace and defense products. We will grow as build rates increase on existing programs to address historically high levels of backlog and as we pursue opportunities in the medium term in markets including defense and space, regional and business jets, and eVTOL aircraft. Longer-term growth will come from the next generation narrow-body aircraft and propulsion that will incorporate increasingly more lightweight composite material. As the only US-owned maker of lightweight carbon fiber composite used extensively in all of the top commercial and military programs, Hexcel is well-positioned to benefit from the continued recovery from the COVID-19 pandemic and the increase in production rates across all programs. As we move forward, I'm confident in our team's ability to navigate the challenges and seize the opportunities ahead, deliver strong and meaningful cash flow over the coming years, and generate strong shareholder returns. We appreciate your continued engagement with us today. Operator, we're now ready to take questions.
Operator: We do ask that you limit yourself to one question and one follow-up. Thank you. Your first question comes from Sheila Kahyaoglu with Jefferies. Please go ahead.
Sheila Kahyaoglu: Good morning, Tom, Patrick. Thank you so much. Popular topic today, so on tariffs, Tom, you talked about it a little bit and Patrick, you noted $4 million per quarter. You know, how do we think about your overall tariff impact and what your base assumption would be if you were to include it into guidance? On that $4 million and how you think about profitability in Q1, 9.9% margin, they expand 200 or 250 basis points depending on whether you include tariffs on flattish sales in the next three quarters. So what drives that margin improvement?
Tom Gentile: Let me just start with the tariffs. As we said, as we've gone through and analyzed our total spend, and just matched it to the tariffs currently in effect for each country, we came out with that impact of $3 or $4 million per quarter. As I mentioned in my prepared remarks, most of what we buy in the US is US sourced. Most of what we buy in Europe for production is sourced in Europe. There's not a lot of cross-border flow. And as I also mentioned, the amount that we buy from China, Canada, and Mexico is only a little bit over 1%. So the direct impact is fairly minimal. It's, as I said, $3 or $4 million. And while that's a big number, that's a number that we can offset over the course of the year with our productivity and improvement. But we didn't include it in our guidance because there's a lot of uncertainty as to what the final tariffs will be by country. Also, and probably more important, is what's the indirect impact of tariffs gonna be on the rest of the aerospace supply chain and on production rates at the OEM. That's something that we just can't determine at this point, and so we didn't want to try to guess. And so we've left that out of our guide. The margin that you mentioned for the first quarter was depressed primarily because the revenue was lower than we expected, and we didn't get the kind of operating leverage that we expected. As you know, we peaked in production back in 2019. We have all the capital and equipment in place to support much higher levels of production. And we're only about 80% recovered back to those levels, but we're not getting the operating leverage. We didn't get it in Q1, and that's why we saw the depressed operating margin.
Sheila Kahyaoglu: Got it. Thank you very much. Your next question comes from the line of Michael Ciarmoli with Truist. Please go ahead.
Michael Ciarmoli: Hey, good afternoon, guys. Thanks for taking the question. Just to follow up on what Sheila was asking on the tariffs. Lots of uncertainty. Do you have any levers to pull in terms of pricing, you know, at the potential offset versus or in addition to productivity?
Tom Gentile: Well, what I would say, Mike, is that we have, in our contracts and our Incoterms, most of them, for example, out of Europe, are ex-works. And so the buyer is responsible for the tariffs. And so they would get passed on to the buyer in that case. In addition, we have a lot of contracts which are essentially pass-through. And so for some of our bigger items, like acrylonitrile or some of our paper for our core, contracts are set up so that we can pass through costs including tariffs. So that creates a little bit of a natural hedge for us. And most of our aerospace contracts are fixed for the period of time that they're in effect. And so that doesn't offer the contract opportunity for raising price. But as I said, most of our Incoterms out of Europe are ex-works, and so the tariff is the responsibility of the buyer. And we can, for some of our bigger commodities, pass through the price, including tariffs, to the customer.
Michael Ciarmoli: Okay. Perfect. And then maybe on the flip side, is there an opportunity to potentially gain some domestic share if, you know, these tariffs are making, you know, composites from other global suppliers more expensive? I mean, is that kind of in the realm of your thought process right now?
Tom Gentile: It's a possibility, but, of course, it depends on what the impact of the tariff is on those foreign sources. And at this point, I would say it's still uncertain.
Michael Ciarmoli: Okay. Got it. I'll jump back in the queue. Thanks, guys.
Operator: Your next question comes from the line of Myles Walton with Wolfe Research. Please go ahead.
Myles Walton: Hey. Good morning. You have Blue River Federal on for Myles.
Operator: Hi, Myles.
Myles Walton: Hi. You called out the lower production rates in the A350 as the main driver of the revised guidance. Just curious, is this the rates flattening, or are you actually seeing any destocking there?
Tom Gentile: Well, what we're seeing is, in terms of what we're gonna deliver, is a reduction of about 16 units. So in January, when we had our call for the fourth quarter, we mentioned that we built our plan around an assumption that we would deliver 84 shipsets of material to Airbus in 2025. What we're seeing right now is the demand for about 68 units. And so if you just take a look at the midpoint of our ship set amount, it's $4.5 to $5 million. Sixteen times the $4.75 million is $76 million. So our revenue guidance dropped from midpoints by $85 million, $76 million of that is due just simply to the reduction that we've seen in the A350 production rate. As Patrick said, we've also seen a reduction in the A320 of about 30 units. And, again, if you look at the midpoint of what we said our ship set value is, $350,000, 30 units is about $10 million. So just the A350 and the A320 reduction and what we're seeing as demand accounts for the $85 million drop in our revenue guide.
Myles Walton: I appreciate that color, Tom. Then maybe a stop on the corporate expense. Usually, it's a lot higher in Q1. I know you mentioned lower stock comp. I don't know if anything slipped out of the quarter. Should we expect some sort of, you know, flattening? Any reason expense will be up year-over-year in the back half now?
Patrick Winterlich: No. I mean, essentially, we had one or two credits come through, and there is a stock comp difference between Nick and Tom. Because of Tom's tenure with the company. And so that will make a difference with Tom's cost now gonna be spread out. So it was two or three things, but the largest thing was really around the difference between Tom and Nick. I mean, the other thing kind of also picking up on something Sheila said, Q1 is normally our toughest margin quarter because we're taking those stock comp charges, which we did again this year. They were just a little bit lower. And that's what you're seeing in the lower corporate charges in 2025.
Myles Walton: Thank you, Patrick.
Operator: Your next question comes from the line of John McNulty with BMO Capital Markets. Please go ahead.
John McNulty: Yeah. Thanks for taking my question. Tom, historically, Hexcel has always been very conservative when it comes to kind of its staffing and whether it pairs back, you know, for temporary changes in orders or production levels from the customers. It seems like you guys are taking a much more aggressive approach. Now, admittedly, the A350's got a pretty significant cutback. But I guess, is this a change in terms of how you think Hexcel should be managed as you go forward and where you're a little bit more nimble? And if not, how do you get comfortable that you can ramp up quickly enough when things start to get better?
Tom Gentile: I think we are taking a stronger line in terms of aligning our headcount with what we see current production at and how we see it evolving. So that is true. We're being a little bit more, I'd say, practical and realistic in terms of where we are. Now that said, we remain very well positioned to support our customers in terms of whatever production rates they determine that they can achieve. We have higher levels of inventory. You can see that on our balance sheet. That gives us a bit of cushion. We also have all the capital in place, so that's not an issue. And we're not gonna reduce headcount per se, but we're just not gonna increase it. We've made a few reductions in Europe of contract labor. We made in one of our plants in the US, we made a small furlough. But for the most part, we're just not increasing, and we're allowing attrition to take place. So we're about running 300 heads below where the plan was, and we'll stay that way until we see evidence that production rates will increase. Again, with that high level of inventory, we have more than enough cushion to be able to respond to our customers. One thing I want to make very clear, we're not trying to second guess our customers on their rates and their schedule. We are absolutely prepared to meet all of our customers' production rates that they put out there. We're just managing our own cost base so that we're not getting ahead of them.
John McNulty: Got it. Fair enough. No. Makes sense. And then maybe just as a follow-up on the CapEx reduction. I mean, it looks like you're taking CapEx down by 10% or maybe even more than that. I guess, can you give us a little bit of color as to where that trimming is taking place?
Tom Gentile: It's in a whole variety of areas across dozens of projects. And the fact is, if you look at Hexcel between, say, 2008 when we won the A350 program up to 2018, we made massive investments to tool up for the A350 industrialization. Those investments are all behind us. We're still not using all that capacity. So we don't have that sort of capital expenditure. And we had $100 million in the plan. Given that this year is soft, we've obviously sharpened the pencil and we prioritize the projects. We pushed some things out. And we were able to take $10 million out of the CapEx budget for the year. It was just through blocking and tackling on a wide variety of projects. Nothing major or significant. We also don't have any big capital expenditures in front of us for capacity because all of those were made in the past.
John McNulty: Got it. Thanks very much for the color.
Operator: Next question comes from the line of Matt Akers with Wells Fargo. Please go ahead.
Matt Akers: Yeah. Hi. This is actually Catherine Keeler on for Matt this morning. So it gets back to the guidance you talked about the reduction in shipsets on the Airbus side, but could you speak to what you're seeing on the Boeing side? And what are you assuming in terms of production right there?
Tom Gentile: Right. Well, on the Boeing side, for 737, we said that we were planning and building our plan around an assumption that they would be in the low thirties. And that's about where we still are. We haven't seen a change in that. Boeing is doing very well on their production. They're getting up in rate. They still have that cap of 38 aircraft per month, and that'll be something really to watch during the course of the year is are they able to get approval from the FAA to go above that? But even if they get above it in the back half of the year, we still think the overall average for the course of the year will be in the low thirties. And so that hasn't changed. On the 787, we built our plan around an assumption of about 84 units of delivery. So roughly seven a month. What Boeing has said is that they are delaying the increase in their rate by three to six months. So that could impact five to ten units over the course of the year. And our ship set value is $1 to $2 million. So at $1.5 million, that could be another $7.5 to $15 million. But those are the assumptions that we have used in terms of constructing our plan.
Matt Akers: Okay. Understood. And then, I guess, on the F-47 and NGAD, do you guys have any opportunity to supply those programs in the future?
Tom Gentile: Yes. We do have an opportunity. It's still obviously very early. They've been awarded. And so there have been no decisions made. But as you know, we are the supplier for the F-35 material. And we provide the carbon fiber for that. And so as Boeing and whoever wins the Navy and NGAD program decide on their material system, we will certainly have discussions with them to advocate that our material system for lightweight composite material would be very suitable for those applications. And as I mentioned before, and I think this is important in this context, we're the only US-owned maker of aerospace-grade carbon fiber composite. And so with everything going on in the geopolitical environment today, having a source that is owned and controlled in the US certainly has its advantages.
Matt Akers: Great. Thanks.
Operator: Your next question comes from the line of Ken Herbert with RBC Capital Markets. Please go ahead.
Ken Herbert: Yeah. Hi. Good morning, Tom and Patrick and Kirk.
Tom Gentile: Morning, Kirk.
Ken Herbert: Just maybe you wanna just to drill again deeper on the A350. If you are looking at obviously a step down in about 16 units this year, what's your confidence level in terms of inventory at Airbus or other customer sites that couldn't phase incremental headwind if the ramp at Airbus goes a little slower than expected? I guess, how much inventory do you see in the channel at your customer on this program? And how much of that does the revised guide imply is worked off this year?
Tom Gentile: Well, I think what we're seeing is that there is some inventory there, and some destocking going on, which is why we built our plan where it is. So our plan and where we built it takes into account some level of destocking that will occur. So we're confident. And the thing is, Airbus just reiterated in their recent annual meeting report that they are still planning to get up to 12 aircraft per month in 2028. And so, of course, that means the ramp is gonna be steeper now in these few years to that point. But they're confident that they're gonna do it, and we are certainly prepared to do it. So that creates enormous opportunity for us. I would just say this, on the basis of that, so we're going from last year, they delivered 57 aircraft. They're gonna get up to 12 aircraft per month in 2028, which is about 132 units. And that creates a lot of potential for Hexcel when you look at that, in terms of our cash flow generation capability, you know, we see and expect that we could deliver $1 billion in cash flow over the four-year period between 2025 and 2028, principally on the back of that A350 ramp. So that's why we're really so optimistic about Hexcel's position is we're on that program. It's gonna ramp up. Has been slower, frustratingly slow, to ramp up, but they haven't changed their outlook for 2028. And so that gives us, as I said, $1 billion of cash flow over the next four years. And we see that as very compelling.
Ken Herbert: Yeah. Thanks for that, Tom. And as you look obviously at that 2028 ramp, Airbus obviously hasn't been at those levels for the A350. Is there incremental capacity you have to put in to support 12 a month assuming Airbus is eventually able to get there?
Tom Gentile: No. We're absolutely capacitated, but in fact, a little bit more. That's where we capacitized in 2019. But if you look at if you go back to 2019, in fact, the A350 deliveries were about 111, which translates into 10 a month. So the system has generated very high levels of production. Everybody does have the capacity, and it's really just a question of getting the supply chain stabilized and achieving it. But for Hexcel, we are absolutely capacitated to achieve those levels and even a little bit higher. And remember, Ken, that we're completing a fiber line that we announced pre-pandemic, and that will be online in the next two to three years, which will also give us additional capacity for other sort of military growth opportunities, business jet growth opportunities. So as Tom said, we will be comfortable on the capacity footprint for some years to come.
Ken Herbert: Great. Thank you.
Operator: Your next question comes from the line of Gautam Khanna with TD Cowen. Please go ahead.
Gautam Khanna: Yeah. Thanks. Good morning, guys. Was wondering, on the A350, given you shipped well in advance of final assembly, what are you expecting by the end of this year, you'll be shipping that for 2026? Like, what do you think they're gonna get to? In terms of what they're gonna buy at, what rate per month later in the year? I know you've said the impact's biggest in Q2 and Q3 on the negative side. But presumably, it picks back up in Q4 in anticipation of higher rates than we've seen.
Tom Gentile: The numbers are gonna be higher for next year, but I certainly don't wanna try to provide any guidance for 2026 at this point. We'll just say right now it'll be higher, and we will be prepared to support.
Gautam Khanna: Okay. And I know you have a number of different ship-to's on the A350. Forty suppliers or so. Are they all coming down in rate? Are they all kind of or are you still seeing excess taxes that's overbought?
Tom Gentile: Variable. You know, you can imagine forty different supply or plants are at different levels of production. But there are some plants that are actually behind, and we see quite a bit of a higher rate at those. And others maybe where they built ahead a little bit, and so we're seeing a lower rate. So it really is quite variable across the it's about thirty-five locations that we deliver to from the A350. But it's highly variable. But the average is what we are building our plan around, which is 68.
Gautam Khanna: Gotcha. Thank you very much.
Operator: Your next question comes from the line of Scott Mikus with Melius Research. Please go ahead.
Scott Mikus: Hey, Tom. Patrick. Quick question. You've been a very good partner to Boeing and Airbus over the years. You've also had to absorb a big inflation headwind over the past several years. In addition to just the chaotic aero ramp, have you approached Boeing and Airbus about repricing some of these LTAs, particularly on the A350?
Tom Gentile: Right. Well, we are under contract, as you know, on all of our programs with our long-term agreements. And on the Boeing side, they tend to be a little shorter. And so when we see those expiration, we have been negotiating with Boeing on price to reflect the current market conditions, including inflation. And so we've been able to reach mutually satisfactory outcomes on that. On the A350, which is our biggest program, that goes out to 2030 with Airbus. And the pricing is locked in. Well, there's some variable due to volume. But what we do there is we put in place joint productivity programs where they have to invest engineering resources. We put our own engineering resources in. And then we split the savings. And that's how we are able to drive productivity and improvements in those long-term contracts with Airbus. And as you said, it's very important to maintain strong relationships with our biggest customers. We want to support them. They're in a tough competitive situation. At the same time, we are in discussions with them about long-term programs. We want to make sure that we secure positions on the long-range programs as well. So a combination of all those things, we do get price when contracts expire. The longer-term contracts like A350 work on joint productivity improvement programs where we can both benefit through our investment.
Scott Mikus: Okay. And then Europe is trying to essentially rebuild its own indigenous defense industrial base. If you can't sell that Austrian facility at a reasonable price, could you repurpose it to support growth on some of these European defense programs like the Rafale?
Tom Gentile: Not really. The facility in Austria is really aligned better to industrial production. It's a prereg. So it was very good for the wind market and the recreation market when those were bigger. It's not really tailored to aerospace-grade carbon fiber. The production of carbon fiber. So no. It wouldn't help on the capacity. We have sufficient capacity in Europe to support defense growth. And we would invest in more if the market would justify it. But that's an exciting opportunity for us. And because we are indigenous in Europe, with production facilities and labor in Europe, we think we're well-positioned to support any increase that the European defense firms decide to take.
Scott Mikus: Alright. Thank you.
Operator: Your next question comes from the line of Gavin Parsons with UBS. Please go ahead.
Gavin Parsons: Hey, guys. Good afternoon. On the cost out, like, the headcount attrition sounds like that's more just kind of aligning with the new revenue guide for the year, maybe not driving incremental efficiency on a per head basis. Just want to ask about, you know, initiatives to actually improve, you know, per head efficiency and other opportunities to take cost out of non-labor areas.
Tom Gentile: Right. We are investing quite a bit in what we call our future factory initiative and continuous improvement. So we've got dozens of lean projects across the plants to drive efficiency and take cost out to improve unit cost. So that's really the mechanisms, basic blocking and tackling. It's a plant. It's very defined levels to take cost out to improve the short-term productivity. Longer term, we're looking at digitization and automation and new ways of structuring our production flow that will take even additional costs out and reduce the capital that's required for production. But in the short term, it's just dozens of continuous improvement projects with Lean and Six Sigma manufacturing that will take cost out and create efficiency. There's just no shortcut to it. You just have to grind away at it.
Gavin Parsons: Got it. And just a clarification on the tariff impact, the $3 to $4 million per quarter would be inclusive of reciprocals?
Tom Gentile: No.
Patrick Winterlich: No. That would be, as Tom called out, that would really just be the direct impact that we can sort of sensibly estimate today. I mean, when you get into indirect impact and with typical tariffs, then you're in another realm of assumptions. So the $3 to $4 million is kind of ring-fencing, giving a magnitude around sort of the direct impact that we can see today.
Gavin Parsons: I think that highlights how fluid the situation is. We don't know what the tariffs are gonna be by individual country. We don't know if there will be reciprocals. So what we've done is analyzed what we know, the air fry country, what the direct impact is, and that's the $3 or $4 million. Other things are speculative and will remain to be seen as the situation continues to evolve.
Patrick Winterlich: I mean, even the $3 to $4 million had some speculation in it because we don't know where tariffs are gonna settle. But it's a sensible ballpark.
Gavin Parsons: Thank you.
Operator: Your next question comes from the line of David Strauss with Barclays. Please go ahead.
David Strauss: Thanks. Good afternoon. We've obviously seen a pretty big week. I know that's a negative. I know you're hedged out, but Patrick, maybe give some color around how that could potentially impact as you look to hedge going forward?
Patrick Winterlich: Well, our hedging profile will continue as we've done for many years, and that's protecting us to a significant degree today. And I think in this quarter, you saw what FX was actually a headwind for us given our tailwind, I should say, given our hedges that were in place. Now obviously, if the dollar stays weak for any sort of extended period of time, ultimately, new hedges will reflect that weaker dollar position. And in twelve months' time, our average FX rate will be weaker. And so yeah. So we will manage it appropriately as we've done for many years. But certainly through 2025, given our previous hedging profile, we're in a good position.
David Strauss: Okay. And it looks like you're updated guidance reflects, you know, 11.5% to 12% margins for the full year. Is that right? And how does that payoff?
Patrick Winterlich: Out of the right ballpark. Yeah.
David Strauss: And how should we expect that to kind of ramp from here? Do we have the typical seasonal Q3 slowdown or, you know, lower margins?
Patrick Winterlich: Well, as we said, Q1 is often the weak quarter of the year because of the stock comp charges. That was mitigated this quarter by some slightly lower corporate expenses going through. We've also highlighted that Q2 and Q3 are going to be the most significantly impacted by the reduced A350 sales, so the volume leverage, and therefore, yes, I would expect the margin ultimately to get stronger as the year goes on. We know we have the European vacation, which can impact Q3 anyway. So, yes, we would expect a strong sort of improvement in margins as we come to the end of the year and we see higher volumes going into 2026.
David Strauss: Alright. Thanks very much.
Operator: Our final question comes from Scott Deuschle with Deutsche Bank. Please go ahead.
Scott Deuschle: Patrick, sorry if I missed this, but did you lower your guidance assumptions on 787 at all to reflect the softer start there in the first quarter?
Patrick Winterlich: We do have slightly, I mean, we called out the A350 and the A320. Those are really the drivers of the $85 million. And then what I would say is we have some puts and takes. And so within the puts and takes, the 787 is down, whereas some of our defense business is up to offset it. So it's down a bit, but not massively, and it's more than offset. So really, as Tom called out, the A350 and the A320 explain the revenue guidance.
Scott Deuschle: Great. And the adjustment on 787 is really just due to the delay of three to six months that Boeing signals on the production rate.
Scott Deuschle: Okay. Is there current level of purchase order activity supporting that ramp back up on 787?
Patrick Winterlich: Well, we saw a softer Q1. Now we'll obviously see what we do for the remainder of the year, but we're expecting them to kind of somewhere in the seventies for the full year, reflecting that push out of bond focus.
Scott Deuschle: Okay. Thank you.
Operator: And ladies and gentlemen, that does conclude today's conference call. Thank you for your participation, and you may now disconnect.